Operator: Good day, and welcome to the Royal Vopak Full Year Results 2025 Update Conference Call. [Operator Instructions] Please be advised that today's conference call is being recorded. I would now like to hand you over to your speaker of today, Fatjona Topciu. Please go ahead.
Fatjona Topciu: Good morning, everyone, and welcome to our full year 2025 results analyst call. My name is Fatjona Topciu, Head of IR. Our CEO, Dick Richelle; and CFO, Michiel Gilsing, will guide you through our latest results. We will refer to the full-year 2025 analyst presentation, which you can follow on screen and download from our website. After the presentation, we will have the opportunity for Q&A. A replay of the webcast will be made available on our website as well. Before we start, I would like to refer to the disclaimer content of the forward-looking statements, which you are familiar with. I would like to remind you that we may make forward-looking statements during the presentation, which involve certain risks and uncertainties. Accordingly, this is applicable to the entire call, including the answers provided to questions during the Q&A. And with that, I would like to hand over the call to Dick.
D.J.M. Richelle: Thank you very much, Fatjona, and a very good morning to all of you joining us in the call today. I would like to start with the key highlights of the year. 2025 was another year of disciplined strategy execution and sustained momentum for Vopak. We delivered record financial results, executed our growth strategy and showed our commitment to create and distribute value to our shareholders. Demand for our services remains strong, which is reflected in a healthy occupancy rate of 91.4%. Despite currency headwinds, we delivered a record level EBITDA in 2025. We further optimized the portfolio, divesting our terminals in Korea, in Barcelona and Venezuela, while establishing our footprint in Oman and completing the IPO of AVTL in India. We also made good progress on executing our growth strategy. Some of our largest projects like REEF LPG terminal in Canada and Gate 4th tank in the Netherlands are progressing well. We have now committed around EUR 1.9 billion to growth projects since 2022 and are well positioned to reach our ambition of investing EUR 4 billion through 2030. We see this not as a target to spend, but rather as an opportunity to invest in attractive growth opportunities. Finally, we showed our commitment to distribute value to our shareholders. In line with our disciplined capital allocation priorities, we are announcing a shareholder distributions program of around EUR 1.7 billion through year-end 2030. Before we dive deeper into the results, let's have a look at where we stand in the execution of our strategy. In 2022, we launched our improve, grow and accelerate strategy. And in the first phase, we significantly strengthened our foundation, applying strategic portfolio management while increasing the exposure to gas and industrial terminals that led to an improvement of the operating cash return from 10.2% in 2021 to 15.6% in 2025. Our strengthened foundation positions us well to increase the pace of our investment commitments and growth CapEx in 2025. We are focused on executing our major projects, delivering them both on time and on budget. As these assets come online from 2027, we expect them to positively contribute to our return profile. And this will further accelerate our growth strategy execution as we look for continued ways to accelerate our investments in attractive growth projects. As we execute our growth strategy, we remain committed to distribute value to our shareholders. Since 2021, we have distributed around EUR 1.2 billion in dividends and share buybacks. And in line with our disciplined capital allocation priorities, we're making a step change now by announcing a shareholder distributions program of around EUR 1.7 billion through year-end 2030. Now back to our results. As mentioned, 2025 was a strong year in terms of strategy execution. We continue to improve the performance of our portfolio, generating a record level of operating free cash flow, leading to an operating cash return of 15.6%. In addition, we completed the IPO of AVTL in India, and we added additional investment commitments during 2025, of which the majority is allocated to grow our base in gas and industrial terminals. With regards to the accelerate strategic pillar, the developments of new supply chains for CO2 and ammonia as hydrogen carrier are moving at a slower pace than we initially anticipated. At the same time, we're pleased with the investments in the Netherlands and Malaysia on low-carbon fuels and sustainable feedstock infrastructure as well as the early stages of battery developments. Now let's look at our sustainability performance, where we have safety always as our top priority. And while these metrics demonstrate best-in-class performance, they fall short of our ultimate safety ambitions. Looking at the emissions, we're making good progress in achieving our long-term goals. With regards to diversity, despite our ongoing efforts, we've not yet realized the level of gender representation to which we aspire and are committed to improving this. Looking at the financial performance for the different terminal types we operate, we see an overall strong performance with higher results compared to last year despite currency headwinds. LNG markets remained well supplied while global LPG trade was marginally higher than 2024. Mainly due to some planned out-of-service capacity and a positive one-off last year, 2024, the results of the gas segment went down year-on-year. In the Industrial segment, growth is contributing and together with the one-off in the second quarter in 2025, we see a 15% increase, notwithstanding the uncertainty in the macro environment. Chemical markets were challenging for our customers in 2025, while our terminals continue to perform relatively stable despite some locations seeing lower occupancy rates. Energy markets, which we serve with our oil terminals continue to see strong demand and performance is driven by increased throughputs, higher rates and contract indexation. All in all, this has led to an increased proportional EBITDA to EUR 1,184 million and a strong operating cash return of 15.6%. Now let's move to the execution of our growth strategy. Since the start of our Improve, Grow and Accelerate strategy, we've committed a total of EUR 1.9 billion. Around EUR 550 million of this EUR 1.9 billion has been committed since the beginning of 2025. We're well positioned to achieve our ambition of investing EUR 4 billion by 2030, supporting our long-term operating cash return ambition of 13% to 17%. During 2025, we made good progress in expanding our capacity. The construction of our LPG export terminal in Western Canada and the 4th tank at our Gate terminal in the Netherlands are progressing as planned. Also, we're expanding our capacity in Asia with multiple FIDs taken in China, India, Malaysia and Thailand. In the Latin America region, we're expanding our capacity in Brazil and in Colombia. As mentioned, we've realized strong momentum in executing our growth strategy. We've already commissioned around EUR 650 million, and these projects are contributing to our results. Around EUR 1.3 billion is still under construction, and we expect to commission around EUR 775 million around year-end 2026, and that's related mainly to Gate 4th Tank and LPG in Canada. In the period '27, '28, we expect to commission around EUR 325 million and around EUR 175 million in 2029 and beyond. The already commissioned growth projects as well as the growth CapEx under construction will further reinforce our long-term stable return profile. 70% of our revenues are generated from contracts longer than 3 years, a 10% point increase from around 60% in 2021. Currently, around 40% of our EBITDA is generated by assets in gas and industrial. Looking ahead, we expect continued strong momentum. We've shown strong business performance in the recent years. The market indicators for storage demand remain firm, supporting the delivery of our growth projects and the resilient performance of our existing business. We expect this momentum to continue, and this is reflected in our long-term ambitions. We've raised our long-term operating cash return ambition to an annual range of between 13% to 17% and are well on track to invest EUR 4 billion growth CapEx through 2030. So let's wrap it up on this slide. We have an unparalleled global infrastructure portfolio, proven to be resilient in uncertain times. We expect a robust energy demand through 2030. And through our strategic locations and the critical link they provide will support further growth opportunities leading to long-term stable returns. With our ambition to allocate EUR 4 billion growth CapEx through 2030, of which EUR 1.3 billion currently under construction, we deliver clear tangible levers for growth. And last but not least, we have a strong focus on creating and distributing value to our shareholders through cash dividends and share buybacks. With that, I'd like to hand it over to Michiel to give more details on the full year and fourth quarter numbers.
Michiel Gilsing: Thank you, Dick. And also from my side, good morning to all of you. As mentioned by Dick, 2025 was a strong year for Vopak with record results. We reported a record level of operating free cash flow, driven by our continued strong profitability and EBITDA to cash conversion. On a per share basis, proportional operating free cash flow increased by 7% to EUR 7.13. We reported a 68% increase in earnings per share, driven by higher net income and a lower share count. Net income increased by EUR 228 million, mainly due to a dilution gain of EUR 113 million resulting from the listing of our AVTL joint venture and an impairment reversal of EUR 181 million in cash-generating unit of the Europoort terminal. These results highlight the strength of our well-diversified portfolio, particularly in times of increased uncertainty and volatility. Simultaneously, we continue to ramp up our investments in attractive and accretive growth projects while returning value to our shareholders, which we will discuss in more detail later in the presentation. Let's take a closer look at the performance of the portfolio. Our operating cash return improved to 15.6%, driven by an increased operating free cash flow of EUR 823 million and a slightly decreased capital employed. Demand for our services remained healthy. Adjusted for currency movements and divestments, the proportional EBITDA increased by 4.3%, which we will detail further in the next slide. Moving on to our business unit performance overview. Excluding negative currency exchange effects of EUR 33 million and EUR 2 million divestment impact, the proportional EBITDA increased by 4.3% compared to 2024. A large part of this growth can be explained by the strong EBITDA contribution of EUR 20 million from our growth projects, particularly in China and the Netherlands. The results in our Asia and Middle East business unit were primarily driven by the results of a commercial resolution in the second quarter. Across the remaining business units, the performance was relatively stable. We are continuously focused on generating predictable growing cash flows to create value for our shareholders. We achieved this by growing our revenues while improving our profitability and cash conversion. In 2025, we improved on both our EBITDA margin, reaching 58% and our cash conversion reaching 70%. Driven by revenue growth, increased profitability and increased cash conversion, we have grown our operating free cash flow by 49% since 2021. As we have funded a fair share of our growth investments by divesting assets with lower cash generation abilities, the amount of capital employed has not significantly changed since then. The significant improvement in cash generation with a stable capital employed has led to a 5.4 percentage point increase in our operating cash return. Let's take a closer look at the drivers of improvement with regards to our cash flow per share. We can clearly see that the increased profitability is the main driver of improvement since 2021, driven by strong contributions from our growth projects and the resilient performance of the existing assets, our proportional EBITDA increased by EUR 184 million. This has had a net impact of around EUR 1.50 per share. Also, our cash conversion has significantly improved, primarily driven by a decrease in operating CapEx of 28%. This has had a net impact of around EUR 0.70 per share. Finally, we have executed 2 share buyback programs since 2021 with a total value of EUR 400 million, reducing our share count by around 8%. And adding these drivers together, we increased our proportional operating free cash flow per share by 62% since 2021. Shifting from proportional figures to consolidated figures, we get a good picture of the cash flow that became available for capital allocation on the holding level in 2025. Our cash flow from operations, which includes a healthy upstreaming of dividends from our joint ventures remains strong, showing a 2% increase compared to 2024. After deducting operating CapEx and IFRS 16 lease payments from CFFO, we arrive at the consolidated operating free cash flow of EUR 691 million, an improvement of 5% versus 2024. Factoring in the taxes paid and the financing cost, we arrive at a levered free cash flow of EUR 506 million. This represents the available cash before debt financing that we can strategically allocate to pay dividends, invest in growth or buy back our own shares. Our capital allocation framework consists of 4 distinct pillars, aiming to maintain a robust balance sheet, distribute value to shareholders, invest in attractive growth opportunities and yearly evaluate share buyback programs. In the next part of the presentation, I will highlight our key capital allocation achievements. Starting at our first priority, the balance sheet. Proportional leverage, which reflects the economic share of the joint venture's debt decreased to 2.6x compared to the end of 2024 when it was at 2.67x. If we exclude the impact of assets under construction, which do not contribute yet to EBITDA, the proportional leverage is at 2.06, which is the lowest level in the last 5 years. Our ambition for the proportional leverage range is still between 2.5 and 3x. To facilitate the development of growth opportunities that enhance our operating cash return, Vopak's proportional leverage may temporarily fluctuate between 3x and 3.5x during the construction period, which can last 2 to 3 years. Additionally, we maintain control of our financing expenses by limiting the exposure to volatility in interest rates. And we achieved this by borrowing predominantly at fixed rates. As mentioned, we have the long-term ambition to generate reliable and attractive returns for our shareholders. This is why we have announced a shareholder distributions program of around EUR 1.7 billion through the year-end 2030. This program will enhance our dividend policy while introducing a multiyear share buyback program. With regards to the dividend, we have the ambition to grow our payments by 5% or more per year. Also, we will increase our dividend payment frequency to semiannual. We propose a dividend per share of EUR 1.80 over 2025, representing a 50% increase compared to the payment made in 2021. To be clear, the proposed EUR 1.80 will still be paid in full in April of this year, subject to AGM approval. The first interim payment will be announced at the publication of our 2026 first half year results. Looking at the second component of the shareholder distribution program, the share buybacks, we have the ambition to buying back EUR 500 million through the year-end 2030, of which we expect to execute the first tranche of up to EUR 100 million over the next 12 months. As shown in the graph on the right, we have distributed around EUR 1.2 billion in dividends and share buybacks in the last 5 years. The announced shareholder distribution program of around EUR 1.7 billion through the year-end 2030 marks a significant step change. Moving on to the growth. Investing in growth opportunities is a key part of our capital allocation policy. We have the ambition to invest EUR 4 billion on a proportional basis by 2030 to grow our base in gas and industrial terminals and to accelerate towards energy transition infrastructure. At this point, we have already committed around EUR 1.9 billion to growth investments since 2022, of which EUR 650 million has been commissioned and is already contributing to our results. Around EUR 1.3 billion of growth projects are currently underway with the majority of them being delivered by the end of 2026. Once these projects become operational, we expect them to further contribute to the increasing free cash flow of our portfolio. This is why we feel confident in raising our long-term ambition for the OCR to between 13% and 17%. We continue to see attractive growth opportunities in the market that we will pursue in order to grow the cash generation of the portfolio. Our ambition remains unchanged to actively support our customers with infrastructure for the ongoing energy transition and to invest when opportunities arise at returns in line with our portfolio ambition. Let's bring it together in this slide. Since 2021, we have made significant improvements. Our financial performance improved with a double-digit increase of revenue and EBITDA. On the back of increased cash conversion, this growth has boosted our cash generation. The operating free cash flow per share, our main KPI for assessing value creation has increased by 62%. It is, of course, equally important that this increased cash flow is allocated in a way that is creating long-term value for our shareholders. And as you can see, that has been clearly the case. We decreased our leverage while significantly ramping up our growth investments. At the same time, we raised our dividend and reduced our share count. All in all, we're proud of the results that we have achieved. Before we move to the outlook 2026, let's take a brief moment to address our exposure to foreign exchange. If we look at the proportional EBITDA split by currency, we can see that 28% of our EBITDA is generated in euro, which means that for the remainder of the EBITDA, we face translation risk in our P&L. To be a bit more specific, we show on this slide the sensitivity of our proportional EBITDA to changes in U.S. dollar, Sing dollar and Chinese renminbi on an annual basis. For example, a 0.10 change in euro to U.S. dollar has a full year impact on an annual EBITDA of around EUR 32 million. The translation impact that arises from recent currency volatility is something we take into account in our outlook for the remainder of the year. We have updated the currency rates at the end of the year. Based on these updated rates, we expect a negative foreign exchange impact of around EUR 20 million in 2026 compared to 2025. Furthermore, taking into account the positive one-off in the first half year of 2025, we arrived at a rebased proportional EBITDA of around EUR 1.14 billion as a base for the outlook of 2026. For 2026, we expect EBITDA to be between EUR 1.15 billion and EUR 1.2 billion, reflecting an autonomous growth rate between 1% and 5%. We also expect a proportional operating free cash flow of around EUR 800 million for 2026. Operating free cash flow is a driver of value and distribution, and hence, we will start guiding on it. For the longer term, our ambition remains unchanged with regards to our leverage and growth projects. As mentioned, we are raising our ambition for OCR to between 13% and 17%. For shareholder distributions, we have announced a shareholder distribution program of around EUR 1.7 billion through the year-end 2030. Bringing it all together in this slide, 2025 was a strong year for Vopak. We reported a record level of operating free cash flow driven by our continued strong profitability and cash conversion. We have realized a significant step change, increasing our proportional operating free cash flow per share by 62% and increasing our OCR from 10.2% to 15.6%. Simultaneously, we continue to ramp up our investments in attractive and accretive growth projects while returning value to our shareholders. And with that, I hand it over back to you, Dick.
D.J.M. Richelle: Thank you, Michiel. And with that, I'd like to ask the operator to please open the line for question and answers.
Operator: [Operator Instructions] And the first question is coming from Jeremy Kincaid from Van Lanschot Kempen...
Jeremy Kincaid: Congrats on the results. Three questions from me. The first 2 on the share buyback. Firstly, has HAL indicated what it plans to do with regards to the share buyback? Secondly, you've obviously kept your long-term CapEx ambitions, but obviously, you've talked to some larger potential CapEx programs in the future like South Africa or Australia. I was just wondering if you could provide us a bit of an update on either of those projects and how they fit into the outlook given this new share buyback and shareholder distribution framework. And then my third question is on REEF. There's been a couple of articles recently about a dispute with the First Nations community there. I was just hoping if you could provide an update and your thoughts on that dispute and whether it could impact your REEF development.
D.J.M. Richelle: Thank you, Jeremy. First question, what we announced this morning is we do not have any agreement with any of the shareholders related to the share buyback program. That's been a standard language that we've used in the last 2 programs. So that's what we know for now. So no further news on the HAL position. But obviously, we know that if we were to have an agreement with HAL, that would have been noted in the press release. An agreement, meaning that they would like to sell as part of the share buyback program. That agreement is not in place. So I think that's one related to HAL. Then the second one, the long-term CapEx outlook, I think we're pretty clear in the confidence that we have in our ability to execute our growth ambition of the EUR 4 billion. Australia and South Africa are developing, I would say, in line. So maybe first, a few things on Australia, where we moved into definitive phase to prepare for an FID hopefully in the later part of 2026. That means the FSRU is secured. That means that the permit application is submitted, that all the technical details related to the location and environmental impact assessment has all been done and is currently subject to review questions and further due process. So we're well on track, I would say, for the Australia project. South Africa, I would say, in general, an environment that is a bit more complicated in terms of the permit process. It will take -- it's always hard to make the full estimate of how long that permit process is going to take. We're here dependent as well on power plant development in the area of Richards Bay, where we are planning the site. So we are still confident on the need for the country on our role that we can play on the location. But as you can see with these projects in an early development stage, it takes a bit of time to see how they will unfold. I think whether -- there are obviously big projects in our portfolio, both especially, I would say, Australia, but also South Africa. At the same time, we can also see that the pipeline of projects that we have is a healthy pipeline and the development is healthy. And on that basis, we are indicating and guiding the market on our confidence that we have for the EUR 4 billion in 2030. I think that's hopefully giving you a bit of background on that long-term CapEx plan and where and why the confidence is. And then towards your last question related to REEF and the news on some of the First Nations comments that have been made. We are obviously aware of what's happening. We are, at the moment, focusing on delivering the project, and that is going well. So the delivery of the project to be in service end of this year within the time line that we originally set and also within the budget that we originally set that is well underway. We continue dialogue with the relevant First Nations and all the relevant stakeholders. This is not only the First Nations, but it's local court, it's the federal government to engage in a very constructive manner to see how we can find a solution that works for everyone involved, while at the same time, also protecting our legal rights. And those are linked to the fact that we are currently constructing the terminal in line with the contracts and the permits that we have. And it's based on a contract with our customer, AltaGas, who is also our partner in the development of the REEF terminal. So that's probably the best I can say for now on this.
Operator: And this question is coming from Thijs Berkelder from ABN...
Thijs Berkelder: Congrats on the cash return announcement. Happy to see those. First question, yes, maybe more geopolitical. Can you indicate what is currently happening at your terminals in Fujairah? Looking at the JV result in Q4, it was clearly higher and also your proportional occupancy in Middle East, Asia has jumped to 96%. Secondly, can you maybe describe what 1 year with the Trump government. Can you describe what's the impact on your U.S. terminals business of the governmental change maybe? And thirdly, what grip can we have on the timing of, let's say, the new contracts for EemsEnergy? And what kind of costs are you assuming for EemsEnergy in '26?
D.J.M. Richelle: Thanks, Thijs. Maybe first on VHFL -- on Fujairah, results overall continue to be healthy. The reason that the fourth quarter was significantly better than the third had to do with a contract that we started in the fourth quarter, in tanks that were empty in the third quarter. So that -- and it was quite a large capacity. It was planned to be taken up by the customer, but that was the reason that the results went up, but also occupancy-wise, it was sizable and therefore, had an immediate impact on the occupancy. I wouldn't say it's something that is linked to a structural change that happened from the third to the fourth quarter. You should look at it much more as a, I would almost say, a natural rollover from one party to another party that takes up capacity. And sometimes it's a few months without occupancy and then it's picked up again by the customer. So this was more or less planned and has nothing to do with geopolitical developments in that area. In general, as you know, Fujairah is -- has a very strategic location outside of the Strait of Hormuz. And that's one of the reasons that it remains a very attractive location, and that's what we expect also going forward. Your second question, we could spend the rest of this call on probably, but not related to the Vopak position, but just in more generic terms. Let's stick maybe to the pure Vopak position. Zooming in, I would say, on the U.S., just to put it in perspective, our U.S. position currently is 8 terminals and roughly, give or take, 15% of our EBITDA. And that continues to be relatively stable going forward. You have to kind of dive into the detail of it. The role of the terminals is either industrial, Corpus Christi or the Via terminals, ex Dow sites. So that's 4 out of the 8, and that's long-term contracts, yes, with a bit of variability, but long-term contracts and relatively stable. Then we have Deer Park that has a strong position and also quite some industrial connectivity to the production sites around. And a lot of what Deer Park is doing is actually local distribution in the U.S. There's not so much import happening over there. So yes, there's a bit of export that happens, but we haven't seen a big impact in 2025 on our Deer Park facility. And last but not least, we have a position on the West Coast, and that is supporting very specifically trade and bunker fuels with airports, or air travel in Los Angeles and the environment. So also there, we see a relatively normal demand for our services. So by and large, I would say, specifically to your question on what the impact of the Trump administration in the U.S. has been, this is the picture. I think if you look at it from a more broader perspective, obviously, the uncertainty that especially the tariffs are creating does not necessarily help create stability for investment and big investment decisions does not necessarily create a lot of stability around product flows around the world. So we've seen changes, and we've commented on that also during 2025 that we sometimes see changes in product flows. But I think the strength of our global portfolio and the diversification of the portfolio means that sometimes you see a bit of a drop in one location being picked up at another location. So I would almost say, by and large, it has -- it did not have in the short term, a big impact on what we see. For the longer term, it's probably -- well, you see how our outlooks are for the investment program, but also the return profile of the company towards 2030 and the announcement we make today. So we feel our position, strategic locations, diversified strong resilient network gives us confidence that the demand for our services will remain quite healthy in the coming period. Then your last comment on EET, a few things to mention over there. We indicated in '25 that we were working on that technical solution related to minimum send-out capacity of the terminal. That solution is now in place, still runs into the first quarter with minimum compensation to the impact of our customers, but then we run into a steady-state situation until '27. That's one. And then second, we're currently going -- as we are indicating in the press release, we're currently going through the process of the renewal of the terminal in 2028, and that process is ongoing. And that's too early to comment on it, but we expect in the coming months to be able to indicate what the next steps are going to be. And that's -- we're just in the middle of all of that at the moment. So I hope that gives you a bit of sense, yes.
Thijs Berkelder: Yes. One add-on question on Asia and Middle East results. So the JV results and the proportional occupancy rates spiked because of what you described. But why is the proportional EBITDA then in Q4 down versus Q3? Is that something in Malaysia or so or India?
D.J.M. Richelle: It's probably an element in Australia. It's a claim that we booked in Australia. That's the only thing I can probably indicate, Thijs. There's nothing fundamental. So it's more of a one-off element that we saw in Q4 in our oil terminal in Sydney coming up. But that has been.
Thijs Berkelder: How large was that claim?
Michiel Gilsing: Yes, that was quite sizable, so around EUR 2 million. And then we had in Darwin, we had the long-term contract came to an end in end of September. And then you see effectively, we have a drop in income in Darwin of around EUR 2 million as well. So those 2 together. So one is structural and the other one is more incidental.
Operator: [Operator Instructions] And the next question in the queue is coming from David Kerstens from Jefferies.
David Kerstens: I've got 3 questions as well, please. Maybe first of all, you indicated the phasing of the commissioning. And I think you said that in 2026, you expect EUR 775 million of growth projects to be commissioned. What is baked into your guidance in terms of EBITDA contribution for 2026? And what do you expect this EUR 775 million will start contributing in 2027? And I think you said EUR 650 million has so far already been committed. What is the EBITDA contribution related to what's currently already operational? And then my second question is on the oil storage market in the Port of Rotterdam. Can you explain what's happening there that triggered such a large reversal of the impairment? And is this only limited to the Port of Rotterdam? Or do you see the market conditions improving elsewhere as well? And then finally, maybe also a follow-up on the HAL question. I think HAL so far has not participated in the share buyback program. And as a result, their stake has increased. Can you update us on the ownership percentage following the latest share buyback that you carried out in 2025, please?
Michiel Gilsing: Sure. Yes, on the phasing of growth CapEx, indeed, we don't disclose all the EBITDA contributions in terms of, let's say, exactly what has been contributed by which project, so not on an individual basis. We have given indications to the market on what gas infrastructure and infrastructure energy is going to contribute. So this 5x to 7x EBITDA then on new energy infrastructure, 6x to 8x, and on conversions of existing capacity, 4x to 6x. So the EUR 650 million, which has been commissioned is contributing in line with those multiples. So -- but we don't disclose each and every project. So you could take an average and think EUR 650 million, well, divided by whatever you think would be the average. That's one. And then the contributions going forward, yes, obviously, we don't give any specific guidance, but at least what we do is we give guidance on the strength of, let's say, the cash flow of the company by also announcing, let's say, confidence in our shareholder distribution program. So that means that these projects have to start contributing in line with, let's say, the expectations we have given to the market. Part of it indeed '26, but the bigger part of it in '27 because then the REEF project and the Gate project here in Rotterdam are going to contribute in full. So that is the guidance we're giving. And we're also giving guidance that by bringing these projects on stream, our cash return is not going to be diluted. So effectively, we've now upgraded the above 13% range to 13% to 17%. There's obviously always a bit of volatility in our existing business. But with bringing growth projects on stream, we should be able to be in that bracket of 13% to 17%. So that's what you may expect from us. And you also know, let's say, which kind of capitals we are allocating to the growth CapEx. So -- so in other words, things could be worked backwards from a lot of numbers we have given to the market, but we don't give any specific indications on the projects. That's on the first question. The second question, yes, the oil market in Rotterdam is much stronger than we thought a few years ago. And remember, when we took the impairment, it was the Russian invasion into Ukraine. The business was really down at that moment in time. We had quite a hard landing in the first half of 2022. Since then, we have recovered quite well in the Europoort. So we continuously look at the performance. We have updated our business plans for the Europoort, you see effectively in the coming years, we still expect strong results there. In the long, long, longer run, so obviously, there will be an energy transition impact, but we still think that the Europoort is well positioned to also be a viable terminal in an energy transition world. So overall, we came to the conclusion there is no other way than that we should reverse this impairment. And effectively, that means that all impairments, the significant impairments we took in 2022, which were related to SPEC, the Botlek terminals and Europoort are all being reversed now because we had a book profit on the Botlek. We reversed the SPEC one last year, and we reversed now the Europoort. So that's an indication that the business is relatively strong, and you see that back, obviously, in our cash flows of the company. And then the third question, yes, the ownership of HAL is presently at 52%. There is no -- as I said, there's no agreement, like Dick already mentioned, there's no agreement with anybody related to the upcoming EUR 100 million tranche. So you may expect that as a result of that, the HAL percentage will increase above the 52%. And then to be seen what will happen for the rest of the share buyback program because we will announce it tranche by tranche.
Operator: Okay. We're going to carry on with the next question in the queue. And this question is coming from Kristof Samoy from KBC.
Kristof Samoy: Yes. Congrats on the results and the improved cash distribution policy. A few questions, if I may. Regarding alternative energies, the fact that you've been revising your cash distribution policy considerably, can we read into that, that we shouldn't expect any major FIDs there in the coming years? And then I had also a question on Antwerp. We saw the news that Maersk will not continue with it plans to open a green plastic factory in Antwerp. Does this have any impact on your business plan for Vopak Antwerp Energy? And then finally, on REEF, could you elaborate a little bit deeper into the court ruling that has been made? And was it a ruling in substance, and is there still now a court case running or is there potential to open up a new case?
D.J.M. Richelle: Thanks, Kristof. Maybe first one on the alternatives. So on the Accelerate pillar, I think we made it very clear in the release today, and I can only reconfirm it now that for the overall program of EUR 4 billion that we announced, we are confident that we can execute that program and to realize that ambition between now and 2030. I think that's the first part. The second part is related then, and we are also vocal about that. We see that in the -- our Accelerate bucket, so that's the infrastructure investments to support the energy transition that consists of 4 elements. It's low carbon fuels and feedstocks -- it's the CCS value chain and supply chain and it's the hydrogen supply chain, mainly with ammonia investment. And the fourth one is batteries. So if you take the second and the third, so CO2 and ammonia, we definitely -- well, we continue to see a slowdown in some of the developments over there and delay in some of the major decisions that we are dependent on to set up those supply chains. At the same time, we are still confident that batteries as well as low carbon fuels and feedstocks give us sufficient opportunities to realize the ambition that we set for ourselves in the Accelerate bucket. So it's a bit of a long answer, but the conclusion is the fact that we come up with an increased share buyback program or a share buyback program over the period of time is independent of the developments that we see in a specific segment where we identified growth opportunities. So confident with the overall growth portfolio and pipeline that we have and that we can execute that side-by-side the share buyback program that we announced today. I think that's the first part. And the second is related to Antwerp and Vioneo that is backed by A.P. Moller.So disappointing to see that they were not able to make a case for their big investment in Antwerp, disappointing for us, but I think even more so for Antwerp and to a bigger extent to Europe. It's a product that is in need in Europe, green plastics. There's a whole lot of logic on why it would make sense to do it over there, but they couldn't make it work despite the fact that they put a lot of effort in it had a lot of discussion with all the relevant stakeholders, but they unfortunately could not make it work and now are potentially shifting the production to China, which is a pity to say the least. I think for our plans in Antwerp, we had hoped that this would be a start in the Antwerp development, but we're not singly or single-handedly dependent only on the Vioneo development. We're happy with the developments on the land, making it ready for construction. We have a few other leads that we have been vocal about that we are following, and we're confident that, that location and the plans that we have will lead to an attractive development in the middle of the Port of Antwerp. So we will continue to inform you about the main steps there. And then last but not least, on REEF, I think the court ruling has been an interim ruling to get something dismissed in the court and the court basically said, no, it's not going to be dismissed. So the court case will still be held as originally planned, and that will have its course in '26 and '27. So only if the court would have said we would dismiss the case, then the whole case would have been gone now. That is not the case. So the court has basically said, as originally planned, we will hear the case in '26, '27. It will take some time. I think that's a bit more detail on the court case itself.
Operator: Okay. And maybe as a follow-up, can you give us an update on Veracruz?
D.J.M. Richelle: In what sense of the capacity over there?
Kristof Samoy: Yes. And the reconversion plans.
D.J.M. Richelle: Well, maybe a few things that we're still looking for parties to fill up the capacity in Veracruz. In 2025, second part of 2025, we've not been able to find that particular customer. We're working through getting the permits of making the change from the fuel distribution capacity to fill it up with chemicals. That is going according to plan, but will take some time in '26. I don't expect any capacity to be filled from the conversion in '26, and we continue to engage with a number of parties in this year to find someone that will occupy the tanks in -- for fuel distribution. There's definitely a logic for it, but it's not that easy. So we continue to push for that.
Operator: We're now going to the last question in the line, and this line is coming from Quirijn Mulder from ING.
Quirijn Mulder: So I have a couple of questions. My first question is about chemicals in China. You're now traveling on in this country for, I think, for 4 years now in the suffering from the chemical decrease or whatsoever, how you call it. So what are your plans with regard to Zhangjiagang for example, and your, or let me say, trading terminals? That's my first question. And my second question is about Eemshaven. So you expect for Eemshaven to have somewhat better results in 2026 compared to 2025. And the open season was closed, as we understand, there is a consideration to expand the capacity with an FLNG conversion of an FLNG transport vessel into an FSRU. Can you maybe comment on that sort of message we have heard about this? And then my final question about the share buyback program. If I make a comparison with SBM, for example, they have also a program, but they have left some room depending on the growth and the developments there with regard to the cash flow. Is that something you have also taken into account into your program? Or you -- let me say you are saying this is EUR 500 million, that's it, we don't have any upside here left.
D.J.M. Richelle: All right. Maybe Zhangjiagang, specifically, no big change indeed in the situation of the terminal, relatively low occupancy in Zhangjiagang. Remember, that's the only wholly owned terminal. So that's the one that is in the occupancy also coming up and therefore, is being flagged. In terms of pure result and result contribution, it's minimal because let's not forget our China business, all the other terminals is in joint venture and is ITL, so industrial terminals with long-term contracts have developed strongly. So we've divested a few of the relatively smaller distribution facilities in that area, we've now also divested, although not China, but South Korea, we've divested Ulsan terminal at the end of '25. So the dependency on, as you call it, the distribution facilities has been reduced. And yes, we need to continue to look at Zhangjiagang and do everything that we have in our ability to make Zhangjiagang more attractive for the group. But again, it's not the one who has the main impact on our China business. I think the second question, EET, does it have better results expected to be in 2026? The answer is yes, probably because the MSO impact in '25 was there, and that is expected to be much less in 2026. The expansion and the fact that we've announced an agreement to change an LNG vessel and FSU into an FSRU basically allows us to -- for the expansion in -- or the expansion, I should say, in Eemshaven to basically have 2 FSRU vessels from the same FSRU owner and to actually adjust that second new vessel better to what the market services are that we want to offer. So it's actually a bit of an upgrade of the terminal, and we're happy with that opportunity. And as I said earlier to one of the earlier questions, we're currently going through the motions of the results from the open season and follow-up discussions that we're having with customers. So more to follow in the course of '26. And on the [indiscernible], Michiel will comment.
Michiel Gilsing: Yes. On the share buyback, yes, we're confident that we can combine the share buyback, the dividend distributions with our growth ambition at the EUR 4 billion proportional CapEx, we would like to invest up to 2030. What we have tried to do is at least show that confidence by also announcing the shareholder distributions up to and including 2030 so that there is a good match. Yes, what there might always be reasons to change, let's say, the share buyback program, of course, but that wouldn't be the case if the EUR 4 billion is becoming the EUR 4 billion. But it could, for example, be the case if we do a major acquisition, but then we still need to prove to the market that, that acquisition is better than buying back our own share. And similar, if we would go far beyond, let's say, the EUR 4 billion, if we find growth opportunities, which are reaching a next level, but then obviously, we also need to update the market on a revised growth plan going forward. And we don't see that yet. But yes, those might be reasons to change our share buyback program over time. But as long as we stick to the EUR 4 billion, we will also have -- we also are confident that we can execute the share buyback program.
Quirijn Mulder: However, if I look at what you said about your leverage at 3, 3.5x in periods of construction, if you look at 2026, then the construction of REEF is finished, and that means, of course, that you need something for 2027 quite big when you -- or '28 is quite big if you're going to reach that 3 to 3.5x in my view.
Michiel Gilsing: Yes. But if you would think about an Australia project, that's going to be a sizable project. So that will drive up the leverage again. And obviously, we will have -- this year, we will do an increased dividend, but we also do an interim dividend, which is also going to increase the leverage. Then obviously, you have a few more investments which we could take maybe on the energy transition infrastructure, maybe on the battery side. So there's definitely new investments coming into play. And there's always a bit of volatility, of course, in our existing business. So it's not like -- of course, our cash flows are much more sustainable than what they were. But there's still volatility in the business, and that's what we also take into account. So yes, we still may reach, at a certain moment in time, somewhere between 3x and 3.5x for a certain time. And we gave an indication like up to maybe 2 or 3 years. But yes, that is to be seen still. That's also very much dependent on timing of growth -- big growth CapEx projects.
Operator: Okay. Thank you very much. This concludes today's conference call. Thank you for participating. You may now disconnect.
Thijs Berkelder: Thank you.
Michiel Gilsing: Thank you.